Operator: Good day and welcome to the TriMas Corporation Second Quarter 2012 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Ms. Sherry Lauderback. Please go ahead. 
Sherry Lauderback: Thank you and welcome to the TriMas Corporation second quarter 2012 earnings call. Participating on the call today are David Wathen, TriMas’s President and CEO and Mark Zeffiro our Chief Financial Officer. David and Mark will review TriMas’s second quarter results as well as provide some additional details on our 2012 outlook. After our prepared remarks, we will then open the call up to your questions.
 In order to assist with your review of our results, we have included the Press Release and PowerPoint presentation on our company website www.trimascorp.com under the Investor Section. In addition, a replay of this call will be available later today by calling 888-203-1112, with a replay code of 7687244.
 Before we get started, I would like to remind everyone that our comments today which are intended to supplement your understanding of TriMas may contain forward-looking statements that are inherently subject to a number of risks and uncertainties. Please refer to our form 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statements.
 Also we undertake no obligation to publicly update or revise any forward-looking statements except as required by law. We would also direct your attention to our website, where considerably more information may be found.
 At this point, I would like to turn the call over to David Wathen, TriMas President and CEO. Dave? 
David Wathen: Thank you Sherry and good morning and thanks to all of you listening for your interest in TriMas. Today we are sharing the results of another quarter that demonstrates our continued performance improvement. We continue to stick to our plan, balancing revenue and earnings growth to maximize the value of this company. To outperform the economy, our job is to find the bright spots where we can capture growth for our businesses and execute fast and well on our new product programs and our geographic expansion projects that target this bright spots. In parallel, our job is to be cost effective so that we achieve strong returns on our investments, continuously reduce our cost to stay competitive and are able to keep investing.
 This quarters top and bottom-line results demonstrate good progress on these TriMas imperatives. Our agenda today is that I will provide an overview of the second quarter, then Mark will discuss financial metrics and some details by segment and I will finish by discussing our outlook and then we will go out to take your questions.
 Like we have seen our press releases this morning discussing our Q2 results and recent bolt-on acquisition agreements. Let me add some highlights on slide 4, our 17.5% sales growth comes from concentrating on what I am calling the bright spots: places where we can solve a problem for our customers, new products that add features and benefits that our customers are willing to pay for, participating in part of a supply chain in faster growing markets and identifying and executing our compelling bolt-on acquisitions.
 I will share some examples of our recent successes, when I go to the next slide. During Q2, we achieved a record $0.61 per share of earnings excluding special items. Within the $0.61 we also absorbed acquisition related costs and the effects of 10% more shares related to issuance of 4 million shares earlier in the quarter.
 Growth has to be profitable to be considered successful, so we keep after all aspects of costs so that we can keep meeting our 3% total productivity target. We are also adding resources and continuing our emphasis on lean initiatives to fuel future productivity. We are adding capacity in our packaging, aerospace and energy businesses to serve the customer demands accompanying our growth initiatives. We are also expanding our low cost facilities in Thailand and Mexico for ongoing productivity. And we are executing on the plan we communicated for use of proceeds for more recent equity offering. Mark will share details of this with you.
 Now on slide 5, I will share some business highlights that demonstrate some of the actions driving TriMas’s revenue and earnings growth. Rieke Packaging won several new global contracts a year ago and now all the fine tuning and approvals required to actually begin shipping to those customers' local plants in Asia that kicked in. The acquisitions of innovated molding Arminak expanded our product offering such as we expected cross selling synergies which are now delivering new sales.
 We also knew these 2 acquisitions would mix our margins down. We told you we would improve those overtime, product margins and innovated molding are improving nicely since joining us a year ago. Mark will show you more about the improvement performance of our packaging segment. Our main focus at Lamons continues to be building out our bridge network through new greenfield branches and bolt-on acquisitions.
 But in the background we keep concentrating on growing our higher margin engineer product sales and adding fasteners to our existing Gasket contracts which is a competitive advantage for us. Our new product pipeline is encouraging too. Monogram added a sales office in China a year ago and now has $2 million in orders for shipment in Q3.
 Monogram's new facility near Phoenix is building parts for approval by our key customer and we expect to achieve incremental sales by fourth quarter. Monogram’s growth is exceeding the aircraft build rates due to our concentration on new products, aircraft content and enhanced geographic coverage like China and Brazil.
 Aeros investments in new products are proving to be bright spots as gas products are up 15%, compression products are up 60%, and our parts business is up 27% year-to-date. The product mix is in constant flux with the shifting demand between oil, gas, shale and fracing.
 But our team in Tulsa is used to this and responds fast to the changing demand. Norris is capitalizing well on the new anti-dumping duties on large cylinders from China. Plus all of the teams work on improving the small high pressure cylinder product that we make in Huntsville has grown sales in this category more than 40% for the first half 2011.
 I was in Melbourne in June when our new consolidated plant there officially opened. It has upgraded equipment for both productivity and enhanced product features that are helping us gain new customer contracts. In addition, Cequent North America achieved a 14% operating profit margin. While its new plants in Mexico were still just in start-up mode it bodes well for the future.
 Now I would like to comment on the bolt-on acquisitions we just announced with information on the next 2 slides. We told you that Brazil is an attractive market for us particularly in energy with all their new oil supply and especially due to all the new petrochemical plants been built. The large energy and oil processing companies that we currently serve in other parts of the world are expected to invest multiple billions of dollars for multiple years into the future. The acquisition of CIFAL establishes our initial energy foot-print in Brazil and allows us to expand on the strategy of providing special fasteners.
 Similar to the fastener hub created by our South Texas Bolt & Fittings acquisition in 2010. This is step one in Brazil, we will add capability for larger product sizes and more features in CIFAL plus this will be a Lamons hub so that we can add branches providing gasket’s and fasteners adjacent to all the new refineries and plants.
 We also announced the acquisition of Trail Com, the leading distributor of towing accessories and trailer components in New Zealand. As successful and profitable as Cequent is in Australia we were weaker in the New Zealand market. We now have opportunities to cross-sell our products in New Zealand and strengthen our retail and trade presence in Australia as a result of this acquisition. Both of these recently announced acquisitions have attractive sales and cost synergies for us. At this point I would like to turn the call over to Mark to share our financial and segment information with you. 
A. Zeffiro: Thank you Dave and good morning. Let’s start with a quick summary of our second quarter results on slide 9, our second quarter sales were $338 million, a record quarterly sales level for TriMas and a 17.5% increase compared to the second quarter of 2011. This is our 9th consecutive quarter of double digit year-over-year sales increases with growth in 5 of our 6 segments. We continue to generate growth on many fronts. Our organic growth efforts focused on new products, growing end markets and market share gains represent approximately 50% of our growth for the quarter and the year.
 Our bolt-on acquisitions are generating expected or better than expected results. In addition, our sales increases were partially offset by $3.3 million of unfavorable currency exchange. Across the company our strategies and our execution are driving positive results.
 Q2 operating profit improved approximately 13% compared to Q2, 2011 excluding special items primarily as a result of higher sales. Our operating profit margin declined 60 basis points as margins were impacted by lower European packaging sales, business sales mix including the acquisition and higher cost related to the expansion in energy. Our productivity efforts more than offset the economics in the quarter and as expected continue to fund our growth initiatives.
 Second quarter, 2012, income from continuing operations attributable to TriMas was $16.7 million. Excluding special items related to debt extinguishment and restructuring costs associated with the manufacturing footprint optimization. Second quarter, 2012, income from continuing operations would have been $23 million an increase of 25% compared to Q2, 2012.
 During Q2, we achieved a record quarterly diluted EPS of $0.61, all absorbing acquisition related cost and the effects of more shares. Interest expense reduction and effective tax structure management also contributed during the quarter. We remain focused on cash flow and our results today are inline with our expectations. We plan to generate $40 million to $50 million in free cash flow for the year. We believe we have strong cash flow businesses and expect them to generate cash even in times of growth.
 During Q2, we also issued $4 million shares of common stock for net proceeds to 79 million. These proceeds were used to redeem $50 million of our 9 3/4% senior secured notes lowering our debt balance to $421 million, a 12% reduction from a year ago.
 We also committed $23 million in cash from the bolt-on acquisition Dave discussed that expand our footprint into Brazil and New Zealand and provide significant opportunities for synergies. A couple of comments on our 6 month results, which are consistent to Q2, year-to-date sales increased more than 16% with high single digit organic growth. Our Q2, year-to-date diluted EPS excluding special items would have been a $1.00, an increase of more than 20% when compared to the prior year EPS of $0.84. To date we are pleased with our record sales and earnings for the company.
 On slide 10, as I mentioned we entered the quarter with approximately $421 million in total debt, a 12% increase from June 30, 2011. During the last 12 months, we also funded approximately $93 million in acquisitions and spent $45 million on CapEx primarily used to generate future growth and productivity. As a result we ended the quarter with a leverage ratio of 2.19x compared to 2.82x at June 30, 2011. We remain disciplined in our balance of growth and indebtedness. Our progress was recently recognized by ratings agencies with May upgrades from both Moody’s and S&P.
 Lastly we ended the quarter with $221 million in cash and aggregate availability under our revolving credit and accounts receivable facilities. We will continue to focus on deleveraging the balance-sheet, generating cash flow and lowering working capital as a percentage of sales. At this point I would like review our business performance by reportable segment beginning with our packaging segment on slide 12.
 Q2, 2012 packaging sales grew 48% compared to Q2, 2011 primarily as a result of innovative molding and Arminak acquisitions which added a little more than $26 million in sales through the quarter. This segment has been hardest hit by the downturn in the European economy which represented nearly a $0.03 shift per share negative effect on our performance. Our specialty systems product sales, unrelated to the acquisition, increased as North America gains offset the European economic challenges.
 We also shipped our first products to our large consumer packaged goods customer in Asia. Packaging operating profit increased 10% in the quarter primarily due to higher sales levels. Packaging one of the highest margin segments in the company was impacted by unfavorable sales product mix as innovative in Arminak synergies and improvement plans are still coming online.
 A lower level of industrial closure sales also had a negative impact on margin levels. Packaging incurred approximately $1 million of intangible asset amortization cost related to the acquisitions in Q2 as well.
 Significant end market growth prospects for this segment continued to support our launches of new dispensing and closure products. The powerful combination of Rieke, Arminak and Innovative has enabled us to more quickly advance our targeted growth initiatives. We are beginning some sales force integration and expect the positive customer response.
 Moving on to slide 13, energy, energy sales increased 12% for Q2, compared to a year ago. The sales growth was the result of multiple growth initiatives including market share wins within our highly engineered bolt product line, geographic expansion and increased demand.
 Approximately $1.4 million of this growth was due to our enhanced specialty bolt capabilities while new branches support their global customers, contribute an additional $1.7 million. As evidenced by today’s announcement of our agreements to acquire CIFAL. We are executing our plans to further support customers in Brazil given the growth in the energy sector expected in the region in the years to come.
 Energy’s operating profit decrease as an impact of higher sales was more than offset by a less favorable product mix, increased sales at newer branches with lower margins and some operational inefficiency due to significant growth. We will continue to expand our footprint in support of our global customers in new markets and maximize our supply chain and operational efficiency for improved cost and delivery. On slide 14, aerospace and defense sales decreased approximately 9% in Q2, 2012 compared to Q2, 2011.
 As improved demand for blind bolts and temporary fasteners from the aerospace business customers was more than offset by the sales decline in the defense business. Our defense business continues to be negatively impacted by the decreased activity with managing the relocation and establishment of the new defense facility.
 We are in the process of bidding future production of our ammunition casings and we will keep you posted after the results. On the other hand Monogram, our aerospace business, continues to show positive sales momentum with a 10% increase in Q2, 2012 sales compared to Q2, 2011 including new sales into Asia.
 We continue to experience higher order activity which resulted in growing backlogs. In Q2, operating profit was relatively flat with a 210 basis point improvement in margin percentage compared to Q2, 2011, primarily due to the increased sales levels in aerospace which have significantly higher margins than the defense business in as a result of productivity initiatives. We expect this business to show revenue growth and margin expansion as aircraft build rates increase and our expanded geographic coverage generates results. 
 Moving on to slide 15, engineered components. Both businesses in this segment Aero Engine and Norris Cylinder, experienced continued growth on top of record 2011 sales levels.
 Q2, 2012, segment sales were up 20% primarily due to improved demand for engines, compressors and other well site products and industrial cylinders. Increased oil drilling activity benefited Aero with sales up $6.6 million compared to Q2, 2011. Aero not only increased its core product sales in Q2 but also successfully introduced more than $1.6 million of new products to add to well site content. During the quarter, Norris Cylinder sales increased by $2.2 million due to market share gains. Norris also continued to successfully leverage large cylinder assets to meet the cylinder assets purchases during 2010.
 As a result of these sales increases second quarter, 2012, operating profit increased almost 30% and operating profit margin expanded more than 16%. These improvements were a result of higher sales levels and higher operating leverage at Aero. Engineered products is off to a great start for the first half of the year but comps do get harder in the back-half. We continue to develop new products and expand our international sales efforts in this segment.
 On slide 16, we show the performance of Cequent split into 2 segments. Cequent North America sales increased 8% as a result of higher sales levels from all of our channels including OE, industrial, after-market, retail and international. Sales increases were the result of market share gains and new product introduction.
 Cequent North America’s operating profit and margin level increased primarily due to the higher sales levels and lower SG&A cost excluding those costs incurred to relocate certain production to lower cost countries. As evidenced by our continued footprint rationalization we remain focused on making these businesses more efficient.
 We will also opportunistically pursue new areas of profitable growth. Cequent Asia Pacific sales increased 32% when compared to Q2, 2011 due to new customer program awards in Thailand and the benefits from the acquisition in South Africa completed in Q4, 2011, partially offset by unfavorable impact of currency exchange.
 Cequent Asia Pacific’s operating profit increased due to the increased sales levels and continued productivity efforts excluding costs related to the consolidation and move to a new manufacturing facility in Australia completed in Q2.
 We remain focused on productivity, products leverage, regional expansion in the Cequent segment. We are focused on achieving both sales and cost synergies from the recent Trail Com acquisition in New Zealand. That concludes my comments, now Dave will summarize the first half of 2012 and provide some additional comments on our 2012 outlook. Dave? 
David Wathen: Thanks Mark. Now I will close with a summary and look forward. I believe that TriMas’s second quarter results confirm that our strategies work for us and that our people execute projects well. We are now at 9th consecutive quarters of year-over-year sales and earnings growth meeting our strategic aspirations. We continue to find attractive accretive, bolt-on acquisitions. Our tactic to follow and support our existing customers as they grow in global markets is proving to work well for us. In the targeted countries that we identified 2 years ago remain attractive for growth.
 Our productivity tactics change but our savings continue to fund our growth investments, our manufacturing expansions are in the right locations for growth and cost out and in parallel with investing for growth we have continued to improve our balance sheet, at debt to EBITDA ratio below 2.2 is an important milestone for us.
 Concerning our outlook for the balance of 2012 on slide 19, the update is that we are reaffirming our 2012 EPS guidance while raising our sales growth outlook driven by our strong organic growth to-date and our recent acquisitions.
 Our earnings guidance remains in the $1.75 to a $1.85 per share after adding 4 million shares and including our projected acquisition integration and purchase accounting related costs. CapEx will still be within our original range but likely be close to 4% of sales and growing some on absolute terms to support the top-line. We certainly plan to continue to invest in bolt-ons, CapEx and people to achieve our growth aspirations.
 Growth is particularly difficult when there are no tail winds from the economy. We see the same head winds everybody does, U.S. GDP at 1% or 2%, growth in emerging markets may be slowing, pressure in Europe, unfavorable currency effects et cetera. So cost control, ongoing cost reduction and being poised to react with deeper cuts on short notice are vital.
 Our management of risks and opportunities with our short term process to respond quickly to changes is one of our key tactics to maximize TriMas’s business results. I will close with a reminder about our strategic aspirations on slide 20.
 Our top-line growth is on track, you have heard us discuss new orders and new sales, new facilities and investments, in multiple faster growing end markets ranging from aircraft and energy to Thailand and Brazil. We continue to achieve our target productivity levels and several new low cost plants will help our ongoing productivity objectives.
 We continue to grow earnings and our leverage ratio is getting near our target range. Our company is really about its people, and we continue to strive to be a great place to work. We owe everyone at TriMas the best working conditions possible. One metric is safety. We now have 2 facilities recognize this quarter for the safety achievements.
 I would like to personally thank our employees and leaders for all their efforts to make this happen. TriMas is a strong team of people in each of our businesses who know their businesses and customers well, have solid plans for revenue and earnings growth, know how to achieve good returns on investments and enjoy competing with technology and speed. We also have structured short term and long term incentive systems that reward our people for execution. This is straight forward and it produces results.
 We intend to stay focused in achieving all of our strategic aspirations. Now we will gladly take your questions 
Operator: [Operator Instructions]. At this time we will take our first question from Robert Kosowsky with Sidoti. 
Robert Kosowsky: I was wondering if you can just dive in a little bit more to the margin weakness in energy and kind of what you see as kind of a sustainable margin level that this have kind of an unusual amount of kind of negatives going against at this quarter versus say what we saw like in first quarter and second quarter last year? 
A. Zeffiro: I'll put it in context. This business has grown sizably in the last year and we are still ironing it out as with any growth environment, those operational factors to make sure that it were efficient as possible plus also in the quarter we did incur some sizeable amounts associated with the acquisition in Brazil and obviously the disruption associated with that and the cost associated with that. So to the end that’s really the effect, long term we remain committed to kind of a team’s level worth of operating profits out of this business and we are starting to see you know the improvement in other areas of the business but it's been more than offset some of the ramp up process associated with those new branches, acquisitions and frankly some of the inefficiencies that we just experienced as a result of those growing pains. 
Robert Kosowsky: Okay that makes sense and could you maybe just map out a little bit more about what the growth strategy in Brazil is now that you have a beachhead there now. Dave, you kind of touched on it a little bit on the prepared remarks but kind of and you are kind of more I guess ideas like how long it's going to take to fully ramp up and kind of like what the next major steps are. 
David Wathen: Yes. Of course the end-game is pretty clear, we need to have branches close to their customers, though you can put pins on the map around the coast to Brazil is to where all the new points are going on in. Short term there is more opportunity, I will say with Petrobras because I mean they are building something like 50 plus platforms which because they are in deep drilling sites take more corrosion proofing on the fasteners and more special gaskets and all that. So stage one is make sure we can serve that and we have had plenty of meetings with them where they made it clear that they need us to bring our technology to Brazil. So it feels pretty good and obviously we are capitalizing on that.
 So short term, it's I will say serve more the supply oil side and the some of the existing refineries which we make sure we know and then you will see us spotting branches near all the new construction sites and that’s a multi-year thing, several years before that’s all built out. So we'll obviously stage them in such a way that we capture some of the build and really of course we are into the ongoing MRO and after-market and rebuild kind of business and so there is not a need to be on the ground in 4 or 5 or 6 or 7 sites right now, we will within a few years. And clearly both fasteners and gaskets, CIFAL is fasteners but I have been there. It's a facility that’s a year old, they are training centers and all that which is important because we tend to train our customer engineers. But also move to put it into the high end sales and gaskets and that sort of thing. 
Robert Kosowsky: Okay so that’s definitely like over the next few years you are going to be kind of expanding like the products offering down there? 
David Wathen: Yes pretty fast on the product offering, but slower on the footprint. 
Robert Kosowsky: Okay it's good to hear and then as far as the aerospace segment you know it seemed like there was a decent head wind on the second quarter last year, was it similar this year, I had a change look at the Q and kind of just your general outlook for margins in that segment as well because it seemed it took a little step down from what it was in 1Q. 
A. Zeffiro: Rob, you got the same kind of pressure as a result of the NI business in its final step down in terms of activity year-over-year from a comp perspective so that’s really what’s driving the top-line pressure and NI at this point in time is still on that in-between phase of deciding what the future business is.
 So, that’s yet ahead of us to decide and act on that obviously supporting our customers in that specific space. In terms of the Monogram business, no there isn’t a step back in profitability and in fact they grew nicely in the quarter as I made mention, 10% top-line growth with continued addition to the backlog. So, the business is operating very well. 
Robert Kosowsky: Okay and then finally Dave what are you seeing as far as like demand in the industrial closures business from Europe and North America, is Europe getting a little bit weaker or is kind of stabilized just kind of any perspective on that? 
David Wathen: I am going to say stabilized and Europe stabilized at a lower rate but we are watching it all the time and Mark shared with you, I mean that’s been an expensive step down for us because that’s a pretty high margin business for us, I mean we have absorbed it but the U.S. is okay, I mean the 1% or 2% GDP number feels pretty accurate in a business like this that follows GDP and the industrial side of the Rieke business. To predict, that’s the trouble what’s going to happen in the second half and that all. It feels like it's staying flat and I think we can say is the sea is flat, that’s what we got to live with.  I am saying it over, the only way you grow in these tight economy is that you take it away from somebody else and you go someplace that's growing faster and obviously we are doing both of these things. 
Robert Kosowsky: And then just backup in aerospace one last question, it looks like it was 27% operating margin in the first quarter and it stepped down about 25%, was there any kind of anything going on there or was it just kind of product mix. 
David Wathen: It's product mix. We are a new building a new plant near Phoenix. 
Operator: And we will take our next question from Shivangi Tipnis [ph] with Barrington Research Associates. 
Unknown Analyst: This is Shivangi Tipnis [ph]. My first question is for the acquisition front, the CIFAL and the Trail Com, do we expect the synergies from the CIFAL to help uplift the operating margin for the energy segment to at least some extent and okay you can go ahead. 
David Wathen: Yes CIFAL makes specialty fasteners which is kind of what we call the engineered products kind of thing, so it mixes us up into the higher margin products right away. 
Unknown Analyst: Okay, so, right away in the sense do we expect it to be a benefit in the second half or then in 2013. 
David Wathen: It looks like longer that, I mean that’s second half is more about adding new products to that business. 
A. Zeffiro: We would also obviously get the ramp down costs associated with inventory and the step up associated with that et cetera. So that will largely be digested for the first 6months and you should see a step up in terms of relative effects in 2013. Now I believe you also asked the question about Trail Com. Trail Com is and if you put it in a context of our Asia Pacific Cequent business which is very profitable and doing very well. This adds a retail component associated with that business, and there are significant purchasing synergies given the total TriMas leverage that we have in that space. So, we expect to be able to see those margins improve overtime as well. 
Unknown Analyst: Okay what added acquisition cost do we expect for this year and are there any pipeline of acquisitions that you have planned for the second half of the year? 
David Wathen: Yes, we of course have molded our acquisition integration cost and all that into our second half in our guidance. The pipeline is pretty decent. You know in a bumpy economy sometimes these opportunities come because of that and of course you know we tend to do bundling acquisitions what we know the owners and all that, the pipeline feels pretty good right now. And we have got some capacity but we are also careful about making sure we got financial capacity. My concern is more about making sure we have got the people capacity to do the integration. So we are thoughtful about that. 
Unknown Analyst: Okay sounds good; my other question is from the pricing pressures. Do you see the pricing pressure, how do they look like for the Europe problem specially and did TriMas undertake any price increases during this quarter? 
A. Zeffiro: I am sorry could you repeat the question? 
Unknown Analyst: How do you see the pricing pressures especially in Europe and did you guys take any price increases during the quarter? 
A. Zeffiro: It doesn’t really, obviously solely to Europe. Our businesses do obviously take price win, the economics otherwise warranted and otherwise they would like to reposition in the market space. We did take price on the net basis up within Q2 and it was across different businesses and different geographies. It didn’t relate specifically to Europe but it did relate to the economics that otherwise we'd experience from an inflation perspective. 
Unknown Analyst: Okay that’s helpful, just my last question, can you comment on the normalized annual tax rate for 2012? 
A. Zeffiro: Our planning rate in terms of 2012 is approximately 33%. 
Operator: And we will take our next question from Scott Graham with Jefferies. 
R. Scott Graham: Several questions for you, someone mentioned in the queue, I haven’t seen it so Mark if you can help me kind of square up some model stuff. The Cequent sales dollars acquisitions in the sales line, could you tell us what that was? 
A. Zeffiro: If you think about the acquisition in terms of Asia Pacific, Trail Com, it's about a $12 million run rate revenue business. 
R. Scott Graham: Wasn’t there an acquisition in the number as well? 
A. Zeffiro: Yes the South African number is about a $1 million, Scott. 
R. Scott Graham: Okay and could you also tell us what the FX was in the packaging and Cequent’s businesses? 
A. Zeffiro: Yes FX in terms of the effect within the business itself, give me one second here I am digging around, the packaging business from a sales perspective is up $2 million. 
R. Scott Graham: So just $2 million negative in packaging and what was it in Cequent? 
A. Zeffiro: Cequent is about a $0.5 million, a little more than that, sales number. 
R. Scott Graham: All right, and last one like that, the packaging margins without the acquisitions? 
A. Zeffiro: Packaging margins without the acquisitions. 
R. Scott Graham: Yes the base business. 
A. Zeffiro: Scott, I don’t have that immediately at my fingertips. 
R. Scott Graham: Okay we can circle back on that. 
A. Zeffiro: But I would tell you that the core margins in that business remain pretty stable and in fact slightly up year-on-year due to productivity efforts. 
David Wathen: And packaging was one of the business we got some price in and so the margins feel pretty good in the base business. It's the work in the acquisition and the synergies and all that. 
R. Scott Graham: Two maybe broader questions here, the acquisition of the Australian businesses I guess it's a little curious from my standpoint because in past conversations you know I just got the impression that it was the M&A pipeline was going to be more skewed and more focused on the other businesses. Could you kind of walk me through your thinking on adding to Cequent. 
David Wathen: I kind of put acquisitions in strategic push form, bind them bucket and opportunistic. When Carl and crew who run that business told me that I had learned that we were actually fairly weak in New Zealand. The strong as we are, we are a very high share throughout Australia. We were fairly weak in New Zealand and the owners of biggest distributor in New Zealand were ready to retire or whatever.
 I would call it opportunistic that said here is the way to take everything we do in a business that has very attractive margins and growth rates and just add to it, add a quite attractive multiple. So call it the opportunistic kind and we will continue to do those. We have got, the test is that we have the financial and the people horsepower, this is also one where we ask the people horsepower to tuck it into the existing business. So we going to like the results. 
R. Scott Graham: Okay so Cequent is kind of back on for acquisitions, I guess I thought we were heading in the other direction on that so, perhaps I was mistaken. 
A. Zeffiro: Scott, I would say though if you look at the return on capital proposition associated with that acquisition we are all going to like the outcomes and when you put it in that context it's about opportunistic. We had a guy retiring that was looking to sell the business, why do you want to increase it have another competitor in that space. So in terms of the total dollars, if you will allocate it to I will tell you, the way you just characterized it, it isn’t that it's back on, its end markets that make sense, the returns that make sense and a multiple that made sense in terms of buying that acquisition. 
R. Scott Graham: So, the pipeline now, if we were to look forward and obviously we are not asking what’s in it but could you give us an idea Dave on where the pipeline is strong, in which segment and kind of are there anything, is anything closer to the finish line. 
David Wathen: We continue the -- the pipeline that we -- I am visualizing the chart in my head, it's clearly packaging, energy and aerospace and while in a way I would dismiss aircraft because the multiples we got a new management team in that business because the retirement of the guy that ran it for a long time. Sometimes somebody new brings these new ideas, so I am actually little more encouraged by some of the opportunities we are seeing for acquisitions in that aircraft space. We are keeping after those, because as you know attractive they are strategically. Energy is, we got the footprint and we have to make the choice about these are better to do acquisition or by greenfield and so it comes down to condition and price in existing business and how long.
 Although we are going to be busy for a while now in energy with CIFAL. Packaging, there are--the pipeline feels pretty good and again we are busy and it's a people choice thing so you would only, well more likely to only go after very well run businesses that as opposed to the turnaround kind of situation, but they are out there. The big question mark and you have heard me say this before is there is a lot of technology in Europe that’s attractive in packaging but Europe is tough place right now. But we will keep our ears and eyes open because there are going to ones that make sense. 
A. Zeffiro: Scott, I would add one thing and that is Brazil. 
David Wathen: Yes Brazil is attractive in multiple markets and I would say that cuts across TriMas. 
R. Scott Graham: The Brazil acquisition I think that’s strategically perfect for what we have coming up with Petrobras. So where are the multiples on these things as a function of EBITDA, are they under 10? 
David Wathen: Yes, we are responsible to our shareholders and our Board reminds us of that. They are -- you wouldn’t roll it out but now that it's a lot, it's a heck of a lot easier been accretive if you are down, it's mid-single digits. 
Operator: And we will take our next question from Mark Tobin with Roth Capital Partners. 
Mark Tobin: I think kind of following on to the pipeline question, can you talk about the packaging side, what you are seeing I guess from an opportunity standpoint, I know in that business you tend to have some larger business that you worked on with the revenue contribution that comes down the road. 
A. Zeffiro: Now Mark if you are talking the acquisition side of it obviously we continue to mine that field very extensively, we have got very experienced leadership team and many of you have the chance to meet with identifying the right kind of bolt-on’s both from a technical and a regional perspective. And they have been exceptionally busy with the shipments first headed to Asia now in terms of those shipments to our customer in Asia that consumer packaged goods company that I made mention of. And with Arminak I will tell you that with the addition of manufacturing capability in the United States here in the next 6 months, we are expecting some pretty sizeable increases in revenues there, almost onto itself like a separate little standalone acquisition in terms of acquiring into this new market and new customer that’s going very well. 
David Wathen: The front of the line in packaging is technology because there are some technologies and you know we stay in the technical in the dispensers is our business, then closures and that sort of thing and there are certainly there are some technologies that take a long time to develop and we are finding that sometimes in acquisitions it's a better way to go. The other thing it could happen in packaging is a capacity add.
 Sometimes that’s easier to buy a kind of a soft competitor for their capacity because it's equipment we know well and all that. So we have our eyes open about that, we have had some good ones to those in the past and we are the team knows I would like them to find the right one that adds because we know how many new molding machines we need and all that to serve the volume particularly in Asia. So there could be a deal that we had in that area too. 
Mark Tobin: And then on your end market commentary, to me it sounded pretty consistent with the commentaries during the last quarter’s call as far choppiness and uncertainty. Are there any differences that you could highlight between what you are seeing now versus what you saw 3 months ago? 
David Wathen: Yes off the top of my head I would say that some of the shale field stuff and all that in energy has slowed a little on the equipment side. But the compression business is up. Again the team in Tulsa gets very high marks for jumping on where the opportunity is and of course they live right in the middle of that whole conversation.
 I would say in energy for us I mentioned corrosion proof because of depth and all that. You know that industry is continuing to upgrade its safety and consistent and all that it's good for us on the higher end products and we have to make sure we have got all the right things.
 So there is little tweaks that go on, no surprises really in aircraft, it's just our content is good. I was pleasantly surprised by real orders in China that matter. China is a tough place to sell that kind of technology probably because they would rather manufacture it themselves and we feel good about proving we are the producer. Norris is-- that pure industrial business looked pretty flat out there, that business happened to scramble for more applications in buyer safety and that kind of thing. We all know though, it's a flat tough fewer market in anything except the bright spots to go after.
 It feels tough and the trick is find the right places to go after and it's just going to be that way for -- and that’s the way we want it. 
Operator: And we will take our next question from Wayne Archambo with Monarch Partners. 
Wayne Archambo: Yes I had a question on the pipeline but it sounds like that you have answered this a number of times, so I appreciate your expansion on that. 
Operator: And we will take our next question from DeForest Hinman with Walthausen & Co. 
DeForest Hinman: First on Europe, you talked about the weakness there in demand but the euro is weak as well. Is there any export opportunities in that market or is it kind of captive in the sense where we produced there and we sell there as well. 
David Wathen: We generally produce in Europe what we sell in Europe there is some export businesses in the Europe but not enough that we would spell out that and it's not going to hurt us. So, I will say caution I have is European companies export into the U.S. because of currency and we're watching that closely. An example of that would be of course there is only few companies in the world that can make industrial gas cylinders. Two of them are in Europe and with the euro weak it makes it easier for them. Now, on the other side of that whole equation of course the softness in Europe, I'd hate to be an exporter sitting in China losing business in Europe and looking for places to sell and all that. So, it has made the companies in China that we do some business with more competitive, they've had to be. You know how it is, you just keep after the effects of all and try to find the places to capitalize on it and don’t let the pain hurt you too bad. 
A. Zeffiro: One other things I would there in terms of Europe is the Rieke business and which is really our largest concentrate in Europe always looks at it's make, make buy analysis in terms of its global footprint. So the flow of products is part and parcel of what they do in terms of thinking about what European supply could end up other places, so that’s just normal course of events for us. 
DeForest Hinman: Okay and on the CIFAL acquisition, what was the actual multiple on that deal? 
A. Zeffiro: We traditionally don’t disclose that but it's consistent with our historical multiples that we paid which is less 10 kind of numbers and if you look at historically they are around the number of about 6 or little more than 6. 
DeForest Hinman: Okay and building on that, I think we were selling into Brazil if I am not mistaken. How much revenue potentially could we shift from import basis into Brazil and quickly flip it over to being produced at CIFAL to kind of avoid the import tariffs? 
A. Zeffiro: Yes, the single customer that if I understand your question about this, it is really pre-existing customers on a global basis that we have there locally. It isn’t a material amount that we have been shipping into Brazil. As you may know, those import duties like make it a make in Brazil for consumption and Brazil kind of market. So that’s going to help us in terms of stepping forward there. 
David Wathen: But I will reinforce it with an anecdote, the management team at CIFAL is staying because they see the upside of being part of Lamons, been involved with Lamons. Pre-acquisition that management team was identifying orders and actually got some orders for product if they did traditionally have but Lamons could provide, so that really reinforced to those people how valuable the broad product line was going to be and it's not trivial amounts. It's enough that-- we will have, you will see a nice ramp in that business. But again it's not a matter of flipping production into it, it's really about incremental sales due a broader product line. 
DeForest Hinman: Okay and as of today with this acquisition with CIFAL do we see a need for more acquisitions on the gaskets and the bolts in Brazil or do we think this management team can kind of grow this business organically with capital from us. 
David Wathen: We know we need multiple sites in Brazil because our model is close to our customers with fast turnaround and it comes down to, it's a lot faster to do it by acquisition. So if we can find the right price and the right product and all that you have a right experience. What it's really about the people, you will see us doing more acquisitions in Brazil. 
Operator: [Operator Instructions]. We do have a follow-up question from Robert Kosowsky with Sidoti. 
Robert Kosowsky: Yes just a couple of other questions, first off you mentioned in packaging especially dispenser in North America, that revenue growth is going well. I was wondering you can kind of give us some more color as to where that exactly is been sold into and then also more broadly talk about the revamp of the sales force especially dispensing side now Arminak in the fold and just kind of what the what you are thinking about, where you want to take that from kind of higher level standpoint. 
David Wathen: Let me comment on the sales force first, we know we need one global sales force, that’s the end-game. So we are as you would expect with a couple of fairly large acquisitions we were heading that way. We will do it fairly slowly because you know it's a business that pricing is vitally important, being with the right customers is vitally important, so it needs, you know it needs to be well thought out, so I am not sure what else to say to say as far as this isn’t something that’s going to happen in a month. It's going to take us a while, we are going to march down the road very, very carefully. 
Robert Kosowsky: That’s good to hear. And then also about the revenue opportunities on like the legacy specialty dispensing business in North America. 
David Wathen: One of the advantages that Arminak bought is a much broader line of foamer products and there is a lot of activity in that product line and it's exactly, call it integrated sales force, it's a sales force that didn’t have the whole product line having more now. 
A. Zeffiro: I would also tell you that there are certain customers that are wining in the market that we happen to have excellent relationships with and we have been afforded broader offerings with them as a result of that, I wouldn’t say its new customers but its preexisting customers outside the acquisition discussion. 
David Wathen: Yes because of the product line we may able to offer more. 
Robert Kosowsky: And then finally in Norris, was there any kind of one time pickup from the anti-dumping rules or kind of did anything kind of mess around with the quarter in particular? 
A. Zeffiro: No, I will tell Rob, this has been a yearlong process whereby the chilling effect if you will really has been experienced over the last 12 months as you have to make known that you are bringing a suit to market for suit in front of the obviously the appropriate bodies. Now what I will tell you is that there was an effect there that ultimately resulted in us gaining share over the last 12 months, it's nothing within the quarter it's been an ongoing effect. 
Operator: And we have no further questions in the queue at this time. 
David Wathen: Okay we appreciate your attention, I always appreciate the team at TriMas that pull together and produce great results. I am proud of the crew, again thanks for your attention and obviously we would follow-up you know that Sherry's on point. Thank you. 
Operator: And that does conclude today’s conference. Thank you for your participation.